Operator: Hello, and thank you for standing by. My name is Bella, and I will be your conference operator today. At this time, I would like to welcome everyone to Global Ship Lease Q2 2025 Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to Mr. Thomas Lister, CEO of Global Ship Lease. You may begin.
Thomas A. Lister: Thank you. Hello, everyone, and welcome to the Global Ship Lease Second Quarter 2025 Earnings Conference Call. You can find the slides that accompany today's presentation on our website at www.globalshiplease.com. As usual, Slides 2 and 3 remind you that today's call may include forward-looking statements that are based on current expectations and assumptions and are, by their nature, inherently uncertain and outside of the company's control. Actual results may differ materially from these forward-looking statements due to many factors, including those described in the safe harbor section of the slide presentation. We would also like to direct your attention to the Risk Factors section of our most recent annual report on our 2024 Form 20-F, which was filed in March 2025. You can find the form on our website or on the SEC's. All of our statements are qualified by these and other disclosures in our reports filed with the SEC. We do not undertake any duty to update forward-looking statements. The reconciliations of the non-GAAP financial measures to which we will refer during this call to the most directly comparable measures calculated and presented in accordance with GAAP, usually refer to the earnings release that we issued this morning, which is also available on our website. I'm joined, as usual, today by our Executive Chairman, Georgios Youroukos; and by our Chief Financial Officer, Tassos Psaropoulos. George will begin the call with high-level commentary on GSL and our industry, and then Tassos and I will take you through our recent activity, quarterly results and financials and the current market environment. After that, we will be pleased to take your questions. So turning now to Slide 4. I'll pass the call over to George.
Georgios Giouroukos Youroukos: Thank you, Tom, and good morning, afternoon or evening to all of you joining today. As in the last several quarters, uncertainty and volatility related to tariffs, trade disruptions and geopolitical tensions have continued to materially impact the global container shipping industry. This set of factors is highly diverse. And of course, there have been numerous additions, such measures announced in recent days. But as we will explain today, the through line is that they are all making containerized supply chains, less efficient, which as long as consumer demand holds up, means that more vessels are needed to carry the same volume of cargo. In this environment, our fleet of flexible midsize and smaller containerships has remained in high demand, and we have secured nearly $400 million of additional charter coverage in the first half of the year, effectively, closing out any 2025 market exposure and bringing 2026 coverage to 80%. Meanwhile, we have selectively and opportunistically sold older ships, crystallizing the cyclically high values and providing us with additional dry powder for freight renewal when the right opportunities arise. Our strong credit ratings reflect the fortress-like quality of our balance sheet and our extensive contracted revenue backlog. We have also continued to pay dividends to our investors with the recent increase, bringing our annualized dividend payment to $2.10 per common share. We are pleased to provide an attractive total return to our shareholders. So far, this year, we have not only outperformed our peer group, but have also outperformed the S&P 500 by approximately 4x. In summary, we're maximizing our optionality to manage risks and capitalize on opportunities in an unpredictable market, all of which providing our investors with a combination of stability, total return, upside potential and good trading liquidity in our shares. With that, I will turn the call over to Tom.
Thomas A. Lister: Thanks, George. Hello, everyone, and please turn to Slide 5, where we highlight our well-diversified charter portfolio. As of June 30, we have $1.73 billion in forward contracted revenues with 2.1 years of average remaining contract cover. We added 22 charters in the first half of 2025, including extension options that have been declared for nearly $400 million of contracted revenues. On Slide 6, we discuss our dynamic capital allocation policy. Being in a cyclical industry that is impacted sometimes positively, other times negatively by any number of global trends and macro factors, we believe it to be fundamentally important to maintain the long view. This means looking through both the cycle and short-term volatility and ensuring that we provide ourselves with the optionality to dynamically allocate capital in the manner that best protects and helps build shareholder value. Given the extraordinary uncertainty currently prevailing, we believe that maximizing that optionality is the right course of action for us to take while, of course, reinforcing our balance sheet selectively investing in our fleet and continuing to return capital to shareholders. And, indeed, increasing those returns we're prudent as we have recently done by growing our annualized dividend to $2.10 per common share. Our strong cash flows from multiyear contracts put us in a strong position to confidently advance each of these priorities. And as we've said before, it's easier for investors to buy and sell our shares than it is to buy and sell ships. And we're pleased that GSL can serve as a liquid platform through which investors can fully participate in our business and industry while minimizing downside risk and having the share trading liquidity to upsize or downsize their exposure at their option. Moving to Slide 7. We continue to take pride in this chart and what it says about our discipline when it comes to acquiring ships. We have consistently bought ships opportunistically and in situations where we believe downside is limited and upside potential is significant. The primary takeaways for investors are twofold. One, we have a strong track record of avoiding acquisitions during periods when asset prices are elevated or in terms that depend upon an optimistic projection of medium or long-term market conditions. When the all-in proposition makes sense on a long-term per share basis, we execute. If it does not, we do not. And two, the old maxim applies the best opportunities to build long-term value and unlock outsized returns tend to be at the bottom of the cycle when there's blood in the water and access to fresh capital is limited. With that, I'll pass the call to Tassos to discuss our financials.
Anastasios Psaropoulos: Thank you, Tom. Slide 8 shows our first half 2025 financial highlights. I would like to mention a few key points. Earnings and cash flow have continued to rise, while our gross debt has increased relative to year-end 2024 as we brought an additional 4 vessels into our fleet. Nevertheless, our gross debt figure is down from where it was 1 year ago. Our cash position is $511 million, of which $80 million is restricted. The remainder ensures that we can fully cover our covenants, working capital needs and any unexpected contingencies in addition to providing dry powder for both opportunistic investments in the existing fleet and investments in fleet renewal if and when the right opportunities emerge. And of course, importantly, it's first continued payment of our sustainable dividend. Of note, we completed an $85 million refinancing to push our weighted average debt maturity to 4.9 years and bring our weighted average cost of debt to 4.18%. We also realized a gain of $28.3 million on the sale of 3 relatively older, smaller vessels, and we have contracted to sell a fourth vessel built 2000 for $35.6 million in Q4. In addition to the healthy dividend, which has already been discussed, we have a further $33 million under buyback authorization, and we continue to delever to build equity value. We have also recently had a very strong credit ratings of firm, the details of which are on the slide. Slide 9 shows our ongoing efforts to delever, derisk and grow equity value, which ultimately increase our optionality. The graph on the left shows our progress in lowering our outstanding debt, which was $950 million at the end of 2022 and now sits under $700 million. Perhaps more willingly, the graph on the right shows a reduction in financial leverage with net debt-to-EBITDA now at 0.7x. Whatever challenges or opportunities come next, we are ready. Slide 10 further highlights our progress in delevering and building resilience. Our cost of debt is shown on the left and blended cost of 4.8%, down from the 6-plus percent in 2020. A similar story is shown on the right, where we have maintained low breakeven rates by cutting our interest expense even as operating expenses have risen in the middle of a period of high inflation. I will now turn it back over to Tom.
Thomas A. Lister: Thanks, Tassos. For the benefit of those of you who may be new to the GSL story and to whom I offer a warm welcome, Slide 11 restates our focus on midsized and smaller container ships between 2,000 and 10,000 TEU, which make up the backbone of global trade are super flexible and are not dependent upon any 1 trade or country. This is quite different from the situation of very large container ships, which are often the focus of media coverage on our industry, not to mention the bulk of capital investment which I will come back to. Because of the huge capacity physical restrictions in many ports and the need for sophisticated port infrastructure, those very large container ships tend to be limited to the big mainland trades, such as those between China and the U.S. or Northern Europe. We consistently reiterate this aspect of our business because this distinction is not a subtle nuance for purposes of fine-tuning a model, but a major differentiation with real-world implications, both in the current environment and well into the future. Moving to Slide 12 on the Red Sea, which continues to have a significant impact on our industry as approximately 10% of global containership capacity is absorbed by routing around The Cape of Good Hope instead of transiting Suez. It's impossible to predict how long this will last. However, liner operator service networks are complex and interconnected, meaning that any significant changes in service routing can't simply be dropped in overnight or enacted without incurring substantial costs. Because of that and more importantly, still the very real implications for seafarers safety, industry consensus is that the line of majors will want to see sustained stability and safety before making any material shift back to the Red Sea transits. Who knows when that will happen, but if or when it does, potentially triggering a meaningful market correction, we're well positioned to take advantage of the opportunities that arise. Turning to Slide 13. We continue to believe that trade tensions in 2019 may be instructive as we all try to grapple with the implications of volatile U.S. trade dynamics with much of the rest of the world, and most notably, with China. In short, from 2019, a combination of tariffs, tariff arbitrage, non-tariff pressures and the prospect of future escalation led to a deconcentration of supply chains throughout the Asia Pacific region and away from huge, highly efficient industrial clusters, feeding directly into the largest Chinese ports and then outward on the very largest vessels to Northern Europe and the U.S. West Coast. This shift accrued to the benefit of midsized and smaller vessels like ours, which both directly took market share from the very large containerships that cannot service those smaller trades, and also saw material incremental demand from a more complex and less efficient supply chain that may now involve multiple voyages within the region before going long haul to the end markets. We've made this point before, but it bears repeating. Increased inefficiency in the supply chain means that more vessels are required to transport a given quantity of cargo. From the containership owners perspective, this is effectively indistinguishable from increased demand, and it is a key theme of many of the major factors currently impacting the world and global trade. To be clear, those disrupted Chinese supply chains remain very significant to global containerized trade, but the diffusion of both intermediate and finished good manufacturing capacity has proved to be lasting as has the general recognition that excessive reliance on any one source country represents a fundamental supply chain vulnerability. In the current context, many of these particulars are fluid to put it mildly, but the overall dynamic and impacts for container shipping are looking to be directionally similar to this president. So if not exactly history repeating itself, it does so far appear to rhyme. On to Slide 14, where we provide our standard check-in on supply-side trends in the space. What at 1 point would have been quite shocking has, in recent times, just become the way things are. Both idle tonnage and scrapping activity are more or less 0, as the system remains stretched. Thin and older vessels continue to command high rates that more than justify keeping them on the water. Just to drive this point home in a global fleet with cellular capacity of around 32 million TEU, a global total of 6,800 TEU of capacity was scrapped in the first half of the year or to put it differently, more or less the equivalent capacity of a single ship in our fleet of midsized and smaller containerships. Slide 15 covers the order book, which is both meaningful in overall scope and overwhelmingly focused on the very largest size segments, a part of the market in which GSL does not participate. In the segments where we do focus, the order book-to-fleet ratio is 12%, which is spread over a 3- to 4-year worth of deliveries. Crucially, while the median age for the global fleet above 10,000 TEU is just 7.5 years, the median age under 10,000 TEU, in other words, in the segments we're focused on and are competing in, the median age has risen to 17.5 years, as new additions have been limited and quite old ships have hung around to reap the benefits of the tight market. It's a bit hypothetical, but if we were to look to a scenario where that full sub-10,000 TEU order book is delivered through 2028, and we were to assume that ships over 25 years in the same time frame was scrapped, then the global fleet would in fact be trending towards a net fleet reduction of 6.3% in these sizes. As we've said before, it can't be taken for granted that all of these ships will indeed be promptly scrapped but as an owner of well- maintained and high-specification ships, I can't say that we are particularly worried about a market in which even a generic 28- or 30- year-old ship can be profitably employed in the charter market. On the flip side, in a scenario in which the wider market turns sharply downward at some stage, pressure on less well-specified vessels and their owners could be meaningfully more widespread with extensive contract coverage, a high specification in-demand fleet and a balance sheet with both resilience and dry powder, we're inclined to see such a situation as an opportunity first and foremost. On Slide 16, we check in on the charter market itself. As you would expect from our commentary thus far, the charter market remains quite strong on an absolute basis and even more so in the context of GSL's breakeven rates of under $9,400 per day per vessel. The amount of chartering activity, particularly on a forward or long-term basis, reduced materially during the post deliberation date air pocket when the liners and their own customers were trying to sort out how best to proceed. However, as you can see on the chart, this bout of short-term focus and hesitation to commit did not undermine the very healthy rate environment. Beyond the discussion of fundamentals that we have provided here, forward visibility on market charter rates is rather limited. For GSL, though, we're insulated by more than $1.7 billion of contract cover over an average of 2.1 years going forward. So our focus is squarely on the opportunities ahead of us. With that, I'll turn it back to George on Slide 17.
Georgios Giouroukos Youroukos: Thank you, Tom. To summarize, we continue to add forward cover and now have essentially no open days in 2025 and are working on closing out next year as well. Macro, geopolitical and regulatory uncertainty is high, and we're maximizing optionality to manage risk and capitalizing opportunities. Financially, GSL is stronger than it has ever been with the fortress balance sheet and annual EBITDA in excess of our net debt. Our average breakeven rates are under $9,400 per vessel per day, which means that we are positioned to continue generating free cash flow even if the markets were much weaker than today's. As our fleet cash flow -- as fleet's cash cows age, we're opportunistically monetizing certain older vessels and are increasingly focused on disciplined fleet renewal to support forward earnings and returns. And finally, we are pleased to be returning capital to our shareholders by paying out an annualized dividend of $2.10 per common share. Now with that, we're ready to take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Liam Burke with B. Riley Securities.
Liam Dalton Burke: Tom, as we look into third quarter, freight rates are sort of weakening or softening as we go further. Is there still that positive disconnect between your freight rates and then your charter rates?
Thomas A. Lister: Short answer, Liam. Yes. I would say that the charter rates in the market are holding up firmly despite the downward pressure on freight rates, in the transpacific. I would also point out actually that there are more buoyant markets than the transpacific such as Asia, Europe. But main message, charter rates remain very attractive.
Liam Dalton Burke: And in terms of your liner customers, is there interest in longer durations in terms of the vessels that are up for recharter.
Thomas A. Lister: I wouldn't necessarily say longer durations, but there is certainly appetite for midsize and smaller tonnage from the liner operators for the same multiyear charters that we've been seeing for a while. So for the smaller ships, maybe a couple of years is on the cards for the ones at the larger end of the size spectrum in our fleet, you may be looking at 3 plus years?
Operator: Your next question comes from the line of Omar Nokta with Jefferies.
Omar Mostafa Nokta: Maybe just a follow-up, Tom, on just your last comments about the charter appetite for the midsize and smaller asset classes. You're highlighting in 1 of the slides just how much the order book has been more attuned towards the bigger vessels. I guess maybe recently, there's been some chatter or some orders coming in for some of the smaller end of the fleet. So I guess maybe my question is maybe 2 parts. One, what's behind that or sort of kick-started perhaps that interest in the smaller ships? And then two, do you see opportunities to place orders for smaller ships against long-term contracts?
Thomas A. Lister: Thanks, Omar. Okay. I'll get the ball rolling on this, and I'm sure George will also weigh in. I think there is a growing recognition that the midsize and smaller segments are underbuilt and people are beginning to react to that. However, because it's still rather challenging to get significantly long-term charters in the midsize and smaller space from the liner operators that keeps a lid on any speculative orders in that space, which means that despite the fact that, yes, there is more ordering activity than before, it's still not, let's say, worryingly high in nature. And to the second part of your question, I mean, we're always looking at opportunities in the space, both for existing ships, which has been our bread and butter to date, but also for new buildings. But we don't move on either of those unless we can make the risk and return numbers work. And so far, that hasn't been the case for new buildings, at least for us. But we continue to keep an eye on the market, as you would expect, George, I don't know if you want to add to that.
Georgios Giouroukos Youroukos: Yes. The only thing I would add is that, generally speaking, liner company, smaller ships do not consider them as the backbone of their services. Hence, they are not running to charter the ships for long durations more than 3 years, I would say, especially if it's a brand-new ship that will go for 3 years or if it's a bargain, they would even go for longer. I mean, it all depends on the rate. So if you offer a very low rate, then yes, they might get longer than 3 years. But in general, they are not the ships that the liner companies consider as their main ships so they can always pick them up in the market, they feel the charter market. So I don't think that it is an idea for us to order these ships at today's high newbuild prices, and then speculatively try and fix them at a higher charter rate because I don't think there's higher charters will be available given the appetite of charterers and knowing also the price that somebody has paid. So the charter is not going to want to allow the owner of the ship to make a killing naturally as a charter could order the ships themselves if it's becoming too expensive.
Omar Mostafa Nokta: Okay. That's interesting. And maybe just a second question. It seems like you've been perhaps a little bit more transactional on the sales side, maybe not dramatically, but you've monetized another ship an older one. It looks like it had a much firmer price than what you achieved for the sister ship a few months earlier. Is your -- are the sales coming on -- is it being driven by the fact that asset values are continuing to stay firm? And also are you seeing these high prices continue here despite perhaps the air pocket you mentioned in freight rate?
Thomas A. Lister: Asset prices remain attractive, going to the second part of your question first. But as a general comment, Omar, whenever we're looking to either deploy an asset or sell it, we run the numbers and try to figure out what's going to generate more capital, more returns, more cash for the business. So it so happens that, yes, we've sold these older assets opportunistically, a total of 4 during the first half of this year, simply because for those specific assets when they were coming available, we felt that, that would be the more value-generative proposition for the company. But that's not to say that we will continue down that track going forward. It's always a dynamic decision, and we figure out what makes the most sense economically, but asset values are remaining quite firm at the moment as our charter rates.
Georgios Giouroukos Youroukos: If I may just add something for clarification. The first ship we sold special survey due. The second ship we sold, special survey passed, hence, the difference in price.
Operator: [Operator Instructions] Your next question comes from the line of Climent Molins with Value Investor's Edge.
Climent Molins:
Value Investor's Edge: I wanted to start with the modeling question. You mentioned that as of June 30, 2 dry dockings were ongoing and 6 additional were anticipated. Could you confirm whether the 6 additional dry dockings are to be pursued throughout Q3? Or does that include the fourth quarter?
Thomas A. Lister: That's a pretty granular question, Climent. Nevertheless, for joining the call. Tassos, I don't know if you happen to know that to respond to it. Otherwise, we can respond to it off-line, Climent.
Anastasios Psaropoulos: Yes, yes. Because I don't have it right now.
Climent Molins:
Value Investor's Edge: Perfectly. I'll follow up on back off-line. I also wanted to ask about your B1 asset values. Your last acquisition in December focused on large vessels, especially relative to your fleet and looking ahead, to what extent should we expect you to focus on large vessels, let's say, above 4,000 TEU relative to feeders?
Georgios Giouroukos Youroukos: I will answer to that, Climent, generally speaking, let's say, our focus, hence that our fleet is for post-Panamax beam ship. So more than 40 meters, 40 meters plus. This is the majority of our fleet per TEU. Now, we like those ships for various reasons. They take more cargo. They're more flexible and so on and so forth. Now, having said that, that does not exclude us from buying, which we have in the past, smaller ships if the deal makes sense. But if I had -- if I was in a shop then I had to -- I had all the options open to me and I would pick and choose what ships are like, I would go for post-Panamax ships rather than smaller, midsized post-Panamax ships. Ships between 6,000 to 10,000 TEU. That would be my absolute preference, but just preference, not carved in stone.
Operator: That concludes our Q&A session. I will now turn the call back over to Mr. Thomas Lister for closing remarks.
Thomas A. Lister: Well, thank you, everyone, for joining our earnings call today, and we look forward to reconnecting with you in the fall for our 3Q earnings. Have a great summer.
Operator: That concludes the conference call today. Thank you all for joining. You may now disconnect. Everyone, have a great day.